Operator: Good day, and welcome to the Cogeco Inc. and Cogeco Cable Inc. Q4 2013 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Pierre Gagné, Senior Vice President and Chief Financial Officer. Please go ahead, sir.
Pierre Gagné: Thank you very much. Good morning, everybody. I have with me, as usual, Louis Audet, our President and CEO; René Guimond, our Vice President, Public Affairs and Communications; Andrée Pinard, our Vice President and Treasurer; and Alex Tessier, our Vice President, Corporate Development. Before we begin, listeners are reminded that this call is subject to the forward-looking statements which can be found in the press release issued yesterday, October 30, 2013, by Cogeco Inc. and Cogeco Cable Inc. So now I'll turn the call to Louis for further comments before the Q&A session. Louis?
Louis V. Audet: Thank you, Pierre, and good morning, ladies and gentlemen, and welcome to the fourth quarter and year-end review of Cogeco Cable and Cogeco Inc. As had been envisioned at our last conference call on July 11, when we published our revised guidance for fiscal 2013 and our initial guidance for fiscal 2014, fiscal 2013 has turned out to be an excellent year. So let us talk about Cogeco Cable first to begin with. You will have noted that the sales have risen 32.5% to reach $1.7 billion. The EBITDA has risen a like percentage to $781 million. The profit from continuing operations is up 9.2% to $185 million, and free cash flow has more than doubled to reach $150 million. In Canadian cable, further to the reorganization we announced on August 6, 2013, Mrs. Louise St-Pierre has been promoted to President and Chief Executive Officer of Cogeco Cable Canada, with full responsibility for all of our Canadian cable operations. At Cogeco Cable Canada, she is focusing on achieving the right balance between promotional efforts and profitability to generate good shareholder returns as we continue to provide our award-winning quality of service to our customers. There's been a lot of talk lately about the government of Canada's stated intention to move to a more consumer-friendly channel packaging model. We at Cogeco Cable had been advocating this for the last 2.5 years with our program suppliers, in particular. We embrace what is in our customers' best interest and intend to participate actively in the dialogue recently undertaken by the CRTC with the view to serve our customers even better. With regard to our evolution towards IPTV distribution, I am very pleased today to confirm that we are currently in preliminary user test of a beta version of our new video platform, which features consumer-friendly interfaces and the IPTV technology. This has been developed by a reputed third party with whom we are working in close cooperation. No formal commercial launch date has yet been determined. We will keep you posted on further details in due course, but we do not wish to disclose more about this at this stage. Turning now to U.S. cable, Atlantic Broadband has performed according to expectations, with 9 months of actual results included in fiscal 2013. Atlantic Broadband, as you probably read yesterday, has just launched a TiVo service in Cumberland, Pennsylvania with much market attention and with the full rollout scheduled to be completed by May 2014. We are currently deploying TiVo's Roamio decoder, its most advanced set-top box with sophisticated applications, including the potential access to Netflix. We are among the first in the USA to deploy this advanced decoder. Turning now to Enterprise Services, the enterprise sector continues to grow at attractive rates and perform as projected in fiscal 2013. Cogeco Data Services is in the planning stage to build its data center in Kirkland, west of Montreal. Construction will only begin when an anchor tenant has signed up. At PEER 1 hosting, we've proceeded to consolidate 3 small data centers, with existing facilities coinciding with ends of leases, and we can accommodate future demand for years to come at current growth rates with existing capacity. Generally speaking, as previously announced, we continue to focus on reducing our debt-to-EBITDA ratio, which, on a pro forma basis, stood at 3.5x as of August 31, 2013, to bring it down to 3x in the course of the next 2 years. This will not prevent us from realizing small tuck-in acquisitions, mostly at Atlantic Broadband, as the occasion arises. You will have noticed that we increased our dividend at Cogeco Cable by more than 15% to reach $0.30 per share per quarter. Let us now turn to Cogeco Inc. and say a few words about it. Here, again, you will have noticed that sales increased more than 30% to $1.8 billion, the EBITDA is at $800 million, and the profit from continuing operations is up by close to 9% to $190 million. The media marketing in Quebec really took a turn for the better in the fourth quarter. And this, combined with the cost control measures that we put in place in the fall of 2012, has allowed us to generate very good results in the media activities. Here, again, we've been able to increase our dividend by more than 15% to $0.22 per share per quarter. In conclusion, you will have noticed that the guidance for fiscal 2014 has changed very little, with sales increasing to $1.9 billion at Cogeco Cable Inc. and $2.1 billion at Cogeco Inc.; with EBITDA at Cogeco Cable at $885 million and at Cogeco Inc. at $900 million; and with the free cash flow in the $230 million range, with profit from continuing operations after taxes also in the $230 million range. So our focus now is on optimizing the performance of each of our operating companies to increase shareholder returns. So that concludes my introductory comments, and we'd now be happy to answer your questions.
Operator: [Operator Instructions] And our first question comes from Maher Yaghi with Desjardins Securities.
Maher Yaghi - Desjardins Securities Inc., Research Division: I wanted to just delve a little bit into your Canadian cable operation. Now we've seen these trends happening across the board with cable companies in Canada with the increased losses on the TV, but I was wondering if -- just looking at your high-speed Internet and telephony net additions, which were on the low end here, can you talk a little bit about what's driving these sequential -- sorry, the year-on-year decline in net additions on the Internet and the telephony and if you changed something in your operations during the quarter that affected that? And relating to your operating results on the cable side, it's nice to see the improvement in margins year-on-year in EBITDA, but I was wondering how long can you be able to continue to grow the EBITDA line if your subscriber numbers are flat or down year-on-year like that.
Louis V. Audet: Well, as we have indicated in the documents that we published today, the subscriber numbers are really a reflection of intense competition, of increasing maturity in the marketplace and also of the fact that we have tightened our credit policies and thus, do not take in, as new customers, people who would not pay us. So of course, that has an impact, mostly on the years where you introduced these measures. Otherwise, I would consider the comment you are making as being -- as far as we're concerned, basically, it's a temporary movement. Really, the trends are healthy, and everything we do, we have a superior Internet service, and I think people understand that in the marketplace. Our phone service is very attractive, and our video service is extremely attractive. The only difference is that the competition is giving away decoders. If it weren't for that, the numbers would be better. Now in terms of margin, your question is interesting because we have been, for years now, improving our margin percentually. And every year, the question is, well, do you really think you can do better? And of course, it's always tricky to categorically state that you will do better, but the fact of the matter is that for the last x years, we have done better year after year. So we continue to work in that direction, continue to review our processes, improve our customer service, and lo and behold, our margin keeps going up.
Maher Yaghi - Desjardins Securities Inc., Research Division: That's very helpful. And in terms of the competitive profile in your area in the Canadian cable market, it seems that the IPTV offering increased quite a bit in your region. Can you talk a little bit about, as a percentage of your homes passed, what is the current IPTV competitive amount is and where do you think it's going to go in the next quarter or 2?
Louis V. Audet: We estimate that the current competitive IPTV coverage in our area is at 25%. Now in terms of projecting where it might go, I think we -- that's really not for us to do. These things are a little hard to figure out because the competition typically only enters specific pockets of each franchise, so it's a little difficult to forecast that. But we estimate that to be about 25% currently.
Operator: Our next question comes from Greg MacDonald with Macquarie Securities.
Gregory W. MacDonald - Macquarie Research: I wanted to ask you a question that's similar to the one just asked. In all points of Rogers' conference call, they actually admitted, I think, for the first time that cord-cutting was now affecting their business. They didn't really go into much on the magnitude, but cord-cutting, nonetheless, is affecting their business. So what I find intriguing is that cable companies, by and large, including yourself, are increasing prices somewhere in the, let's call it, 5% range, sometimes higher. And to date, I think we can all conclude that Bell's IPTV product has been the major impact on your subscriber trends. You point to superior service, and therefore, I think what you're telling us, Louis, is that you have faith that price increases are justified and will be accepted. But then there's this other issue of over-the-top potential for cord-cutting, and then there's this government impact on regulation, i.e. on bundling. To what extent do you think there's risk in you guys increasing prices that might hold now, but next year or the year after, might represent a risk as these other issues, like over-the-top or regulatory issues, might come to the foray?
Louis V. Audet: Well, this is a long question, and there are many components to your question. True cord-cutting, very little I think. I think we should more appropriately say cord-shaving. The Internet connection remains a very important service in every household, and this continues. This will not stop. So you might see people making adjustments about whether they want a traditional TV service or not. And this is where we, for years now, have been saying we must have more packaging flexibility. And you've heard our colleagues from the Maritimes and our colleague and friend Lee Brack [ph] repeatedly say we need more flexibility to package these channels in order that we may be able to satisfy consumers' expectations in terms of having more freedom, more packaging freedom. And of course, when you go in that direction, we realize there are a host of other issues such as the cultural policy in our country and the survivability of some channels. And then, of course, as we all know, the key obstacle to this is affiliation agreements that the larger vertically integrated players have put in place. So it's a complicated issue, but let us say that total cord-cutting is not in the cards. Cord-shaving might be in the cards, and then we, as operators and as people who are eager to serve the customers and particularly keep them, have to adapt to the new environment. The fact that the government is stepping in now is helpful to us because this was going way too slow in our opinion, but in principle, this should not have had to happen. We, as an industry, should have had the sufficient brains to skate a little faster and make the adjustments that were required. So over-the-top is an issue, as I've said in prior -- in answering other questions in other fora. Over-the-top is an interesting concept, but from a social cost standpoint, not all programming supply could take place in over-the-top. Otherwise, the social cost of the network would be essentially unbearable. So over-the-top will occupy a space. It cannot occupy all the space. And if we are wise, we will make over-the-top -- we will facilitate over-the-top access to our consumers, and they will remunerate us for that. And at the same time, we will decrease the size of our packages so that we continue to please them, not upset them. And the combination of these factors, every time -- I'll speak for us. Every time this company has embraced change, we have made progress, further inroads in terms of sales and profitability. So all of these, I don't see as threats. I rather see them as opportunities.
Gregory W. MacDonald - Macquarie Research: That's optimistic. Just a quick follow-on, you mentioned remuneration. Are you seeing clients, your customers increase their caps and therefore, step up in packages for their broadband service? Are you seeing ARPU growth higher than price increases?
Louis V. Audet: We have seen that wholesale, a lot of people upgrading their packages. Now mind you, we progressively made our packages more generous in terms of what was available for the same price in terms of speed and throughput, but a lot of people have also upgraded.
Operator: Our next question comes from Glen Campbell with Bank of America Merrill Lynch.
Glen Campbell - BofA Merrill Lynch, Research Division: I had a couple of questions on your new TiVo Roamio set-top. Could you talk a little bit about the capabilities? Could you talk about what platforms it runs? Is it just -- is it Motorola or Cisco or both? And is it possible that this could become a vehicle for all IP delivery of your channels in your footprint and possibly outside your footprint?
Louis V. Audet: At this stage, this is not an IPTV-powered platform. However, it is a very advanced platform that is backward compatible to Cisco, to Motorola. And it does any number of things. It allows to record up to 6 shows at the same time. It can make instant recommendations based on input you will give it. It allows you to stream on tablets or smartphones anywhere in the home. It allows you to download your shows wherever you want. It gives you a very powerful search engine that will scour choices just about anywhere, and it may automatically record if you want it when what's available matches the actor or subject or theme that you have indicated you're interested in. It allows direct access of Internet on the TV set so that, in fact, people will have access to whatever they want. It's easy to set up, and all we do is add $10 to the bundle price per month. So this is extremely attractive, and it gives -- in fact, it opens up a whole new era of freedom and enjoyment for our customers.
Glen Campbell - BofA Merrill Lynch, Research Division: Maybe just to follow up on the numbers, OpEx and cash operating expenses, down sequentially from Q3 to Q4 in all 3 of your segments. Was there any onetime influence that would explain the changes?
Pierre Gagné: Well, there's been a couple of onetimes. We will see, for example, some credit notes from certain suppliers who were in negotiation. I don't want to go to the specific or the amount. We received also -- we were in negotiation with certain rates with the program suppliers, so yes, we had some onetime in there.
Glen Campbell - BofA Merrill Lynch, Research Division: Could you give us a sense of the aggregate amount in either Canadian cable or overall?
Pierre Gagné: Well, in the U.S., it's not very significant. In the case of Atlantic -- sorry, in the case of the enterprise sector, it's not meaningful. I would say that Q3 would be more representative than Q4 to what it is.
Operator: Our next question comes from Jeff Fan with Scotia Capital Markets.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: My question is on the U.S. margins. It looks like there was a bit of a step-down, if my numbers are correct, from what we saw last quarter. I'm wondering if you can talk a little bit about what happened in the margins in the U.S. and the operating cost?
Pierre Gagné: Well, there was some -- as you know, with the -- one of the major ticket item relates to the bonus calculation at the end of the year, which had an impact on the margin. But look, as they went along and we were finalizing the, if you want, the mechanics for the bonus calculation, I mean, it's a new operation, so we had to do some adjustments in terms of provision at the end of the year to reflect the calculation. So I don't think you should -- it's strictly the bonus, so you could spread it over the the quarter 2, 3 and 4, and the margin would have changed just a tad.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: So this is sort of a 1 quarter thing?
Pierre Gagné: Yes.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: Okay. And then the second question, I want to go back to Louis' comment about the IP video migration, an interesting comment about maybe looking at what a third-party has developed. One of the large U.S. operator has been deploying sort of an IP video Flash-enhanced cloud platform. They have talked a little bit about licensing it to small and medium-size operators. I'm wondering if that is something that you guys would consider, given your size, to get the leverage another operator would scale and also whether what you're referencing is specifically to the U.S. or is that for the Canadian systems as well.
Louis V. Audet: Well, this is something we are developing with professionals who do this, so this is not related to any other operator to begin with. Does that answer your question?
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: Yes. So I guess maybe a quick follow-up. As you look out to the whole IP video migration, what is the timeline that we're looking at? I would presume it's multi-years. It can be all done within your CapEx intensity level right now. Is that how you guys are looking at it?
Louis V. Audet: Yes, we don't view this as resulting in a spike of CapEx. We view this as occurring within the guidance that we have given you in the month of July. And for the time being, this IPTV deployment will take place when we announce it in Canada.
Operator: Our next question comes from Rob Goff with Euro Pacific Canada.
Robert Goff - Euro Pacific Canada, Inc., Research Division: 1 or 2 questions for me. Could you provide any additional insight in terms of what you're considering with respect to Netflix, both the opportunities and the challenges there? And secondly, could you discuss the growth in high-speed-only subs within your base?
Louis V. Audet: Well, let me do my best with the first one and we'll see....
Robert Goff - Euro Pacific Canada, Inc., Research Division: I appreciate the sensitivity there.
Louis V. Audet: So with regards to Netflix, these things are a little delicate because they could eventually be the object of a negotiation, and so you have to be circumspect about what you say and what you don't say. But I think basically, the notion that you will restrict your consumers from having access to a product they want doesn't hold water. So whatever you do, you would ideally want to have as many services on your platform and be more or less agnostic as to where it comes from and how it's aggregated. That's the ideal situation. Now whether you actually succeed at negotiating appropriate affiliation agreements with one or the other is a totally different question. But the notion that you can hold back progress just doesn't work. Now in terms -- what's your second question?
Robert Goff - Euro Pacific Canada, Inc., Research Division: And the second question was just on the significance of growth in high-speed-only subscribers.
Louis V. Audet: There is a core of them, but it's mostly occurring in business, right? But in business, they would come in pairs. They would come as high-speed Internet and phone mostly. So high-speed-only is unlikely, except to the degree you would have third-party access providers who would actually be there, which we have now started including in our own high-speed Internet numbers this quarter. But they're not -- it's not a waterfall, as you certainly noticed.
Operator: Our next question comes from Dvai Ghose with Canaccord Genuity.
Dvaipayan Ghose - Canaccord Genuity, Research Division: I understand promotions and seasonality, but I think this is the first time ever that the Canadian cable companies reported a net decline in telephony subscribers. I assume that the main culprit is wireless substitution, and I'm wondering if that makes you rethink your position on wireless. Obviously, it's a bit late on a facilities basis, but as far, at least, in terms of MVNO, could you give some exposure?
Louis V. Audet: It's a fair question that you're asking there. You would have to weigh the trouble and the cost of getting involved in such an arrangement against the losses you're incurring and you think you might continue to incur. But I grant you that the issue of wireless substitution is there, and some operators started, in fact, offering the home phone on their wireless network, so there's clearly more intensity there. Now keep in mind we've grown that phone base for years now very aggressively, so it's normal that, once you've achieved a certain level, it's normal that you would start to be eaten up because up to here, it's been a pretty exciting party. But all parties come to an end. So look, I don't know if that answers your question, but I think that's how we look at it.
Dvaipayan Ghose - Canaccord Genuity, Research Division: Well, maybe if I could use it as a segue to my second question, which is -- and I know it's been tackled in different ways so far in the call, but you don't disclose your cable segment revenues by way of video, voice and broadband, but others do. And if you look at Rogers, about 50% of the segment's revenues are from television, which seems to be in gradual but terminal decline. About 20% is from voice, which you could say the same thing for fixed voice, right? So you have 30% coming from broadband, which is growing, albeit modestly, because of maturation, and it has very high margins, which is good news. But if, indeed, 70% of your revenues as an industry are in gradual but terminal decline, shouldn't you be cutting cost aggressively?
Louis V. Audet: Okay. So I'm going to pass your question to Pierre in a second, but before I do so, allow me to register my disagreement with the use of the term terminal decline. I don't think anything is in terminal decline. Please keep in mind that the most economical way to distribute programming to large numbers of people in a cost-effective way remains cable. In fact, it remains the core offering of the cable system. This is regardless of technology used. That is broadcast out, or at least switch digital video sent out, and picked into my consumers. And whether these packages become smaller, whether they embrace other kinds of products that heretofore didn't exist, all that is in the mix. But really, I take exception to the use of terminal decline. I don't think you're going to see terminal decline, but I agree that you're going to see a lot of changes. And that's why I said earlier our job is to embrace change and profit from it, and that's what we've done for the last 30 years since we've become a public company, and that's what we'll continue doing. Now having -- with respect -- I sort of modified your question. I'll turn it over to Pierre now for his comments.
Pierre Gagné: Thank you. So the reason why we're not disclosing it by service is that if you look at today, about 31% of our base is double play and 37% of our base in Canada here, I'm talking, is triple play. As you know, as you package double-play or triple-plays customer, there are discounts out of the retail price. And the issue we're facing internally is each package of triple play, whether you have a slow high-speed Internet or a very high high-speed Internet, the discount could be different from one to the other. And then the question is how do you split the discount between -- if you want high-speed Internet, for example, if you want to have a double play between video and high-speed Internet or if you want to have a triple play, who would get what? And we came to the conclusion that trying to break that down and trying to provide numbers, not knowing how the others are doing it and not being able for us to really assess to which part of the discount goes to which service, we prefer to remain as a whole but providing the quantity of customers who have a double and triple play. Otherwise, it would be accounting -- unprecise accounting and reporting as you go along and as you change your packages and modify the way you're offering to the customers, and then the comparison could become, over time, irrelevant. So that's why we didn't go that route.
Dvaipayan Ghose - Canaccord Genuity, Research Division: That makes sense. I appreciate that. Last question if could ask you, Pierre, is on your leverage comment. So listen, your guidance for free cash flow for this year and your EBITDA guidance and your dividend increase all put together suggest that your debt-to-EBITDA leverage at the end of 2014 should be 3x. When I first saw 2015 in the MD&A, I assumed it was a typo, and then you referred to it again with acquisitions, that it may be 2015 before you've done 3x. So given that your EBITDA guidance for this year is $885 million, are you considering $885 million worth of acquisitions?
Louis V. Audet: The answer is no, but he'll give the rest of the answer.
Pierre Gagné: I guess your comment was the appreciation of our conservativeness on our...
Dvaipayan Ghose - Canaccord Genuity, Research Division: Oh, that's what it is that I just said.
Pierre Gagné: If that's your appreciation, thank you, Dvai.
Operator: [Operator Instructions] Our next question comes from Drew McReynolds with RBC Capital Markets.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Louis, just a question for you back to TV packaging. Obviously, you operate both in Ontario and Quebec. Can you just kind of remind us how your packaging differs between the 2 provinces? Presumably, you're in line with the smaller packages in Quebec versus that in Ontario.
Louis V. Audet: So yes, with pleasure. What we have in Quebec today is -- we offer consumers the ability to package most specialty services, starting with a -- pick and pay, starting with a minimum of 15 channels and going up by increments of 5. So we have had that freedom now, I forget for how many years, at least 7 to 10 years. I forget, save and except for some specific channels, where the owners would absolutely not let us treat them that way. And there are -- in Quebec, there are very few of these. In Ontario, with the so-called diginets, we have had a la carte packaging ever since they came on the air in -- was it 2005 or something?
Pierre Gagné: 2001.
Louis V. Audet: 2001. I'm sorry, 2001. And there we've offered -- you can pick them. I forget. Was it...
Pierre Gagné: Pick 5.
Pierre Gagné: There's 5 -- starting with 5, 5, 10, et cetera, which ever number you want. But here, the old entrenched channels could not be packaged that way, only the diginets. And that's where the discussion with the programs buyers have taken place, where we've been saying, well, you cannot expect consumers to continue to be content with having those very popular channels all bunched up in 1 or 2 units. And that's where the debate is. That's what the debate is taking place around. Does that answer your question?
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Yes, it does, Louis. I just want to follow up to that. I think everyone's maybe trying to square off using Quebec as an example of what happens just to television ARPU in a smaller package world. So if you were to kind of look at your Ontario ARPU versus Quebec, is the differential largely due to bundling, or is a kind of meaningful differential also due to just generally lower pricing in Quebec?
Louis V. Audet: We do not agree with the notion that revenue is lower in Quebec because of the freedom of bundling. We are rather of the view that it's due to the fact that there is way less programming available in the French language to a population that, at least in the areas we serve, that are overwhelmingly francophones consuming French language programming, occasionally consuming English language programming. And hence, we are selling less channels, basically, to a population who basically has access to less French programming, hence the difference in ARPU. So we don't view this as related to packaging freedom at all.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Okay. That's actually very interesting. And a follow-up, just switching gears if I may. Just on the SMB market within your Canadian cable services, I think in the past year, you've kind of alluded to that business growing kind of double digits, at least. Just so we can kind of square off what's going on in your residential business, is that rate of growth in the SMB, is it accelerating? Is it decelerating or generally kind of clipping along at a same pace each quarter?
Louis V. Audet: I would describe it as clipping along at a very attractive growth rate. Consider that we've been at this for a while, but we're far from having really seriously developed this market. So we're still going at it, and the growth rates are very attractive. And this is true in the U.S. as well.
Operator: And our next question comes from Glen Campbell with Bank of America Merrill Lynch.
Glen Campbell - BofA Merrill Lynch, Research Division: A couple of numbers questions. First, you mentioned, Pierre, that your TV subscriber numbers and, I guess, your Internet subscriber numbers are now including wholesale. Could you give us a sense of how that's fitting in? I'm assuming you have not restated prior quarters. It's just come into the fourth quarter.
Pierre Gagné: No. No, we have restated.
Glen Campbell - BofA Merrill Lynch, Research Division: You have restated.
Pierre Gagné: Yes, it's been restated until -- up to -- or back to August 31, 2012.
Glen Campbell - BofA Merrill Lynch, Research Division: Okay. Could you give us a sense of whether the growth in SMB is benefiting you across all 3 product segments, or is it mostly in phone and Internet and not so much in TV?
Louis V. Audet: TV is very little. It's de minimis amount.
Glen Campbell - BofA Merrill Lynch, Research Division: Okay, great. And then just last the last one. There's a big increase in depreciation and in interest in the fourth quarter. Could you give us the background on that?
Pierre Gagné: So what happened is we've -- well, for the interest, it's simple. As you know, we repurchased the June 2014 -- or maturity of the June 2014 debt. So we had to make a onetime payment of approximately $10 million roughly. With respect to depreciation, it relates to the purchase price allocation of Atlantic Broadband. We move forward with that in doing more work. So it's both on the -- if you would compare it with the Q3, we've increased fixed assets, and we've increased the subscriber relationships as a result of further detailed calculation.
Louis V. Audet: We'll take one last question if there is another one, and then after that, we'll end the call. Tracy?
Operator: Yes, and there are no additional questions at this time. Please continue.
Pierre Gagné: Thank you very much. So I would like to thank you all for attending this call. The next conference call will be on January 14. And on the same day, we'll have our annual meeting in Montreal, both for Cogeco Cable and Cogeco Inc. All the details will be in the shareholder circular. In the meantime, if there are any questions today...
Louis V. Audet: Investor Day.
Pierre Gagné: Yes, and I will cover that in a second. So Andrée Pinard and I will be available for calls all day. And lastly, on November 13, there will be an Investor Day in Toronto at The Hilton. So I know we've sent invitations, so those who would be interested to please call Andrée Pinard, so we could add you on the list. So in the meantime, thank you very much for attending the call. Have a great day, and we'll see you at the Investor Day on November 13 in the morning. Thank you. Have a great day.
Louis V. Audet: Thank you. Bye.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line, and have a great day.